Operator: Hello, and welcome to Inotiv Inc.'s First Quarter Fiscal 2023 Financial Results Conference Call and Webcast. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It's now my pleasure to turn the call over to Devin Sullivan. Please go ahead.
Devin Sullivan: Thank you, Kevin, and thank you, everyone, for joining us today for Inotiv's fiscal 2023 first quarter financial results call. Before we begin, I'd like to remind everyone that some of the statements that management will make on this call are considered forward-looking statements, including statements about the company's future operating and financial results and plans. Such statements are subject to risks and uncertainties that could cause actual performance or achievements to be materially different from those projected. Any such statements represent management's expectations as of today's date. You should not place undue reliance on these forward-looking statements, and the company does not undertake any obligation to update or revise forward-looking statements whether as a result of new information, future events or otherwise. Please refer to the company's SEC filings for further guidance on this matter. Management also will discuss certain non-GAAP financial measures in an effort to provide additional information for investors. A definition of these non-GAAP measures and reconciliation to the most comparable GAAP measures are included in the company's earnings release, which will be posted in the Investors section of the company's website at inotivco.com and is also available in the Form 8-K filed with the Securities and Exchange Commission today. Joining us from the company this afternoon are Bob Leasure, President and Chief Executive Officer; Beth Taylor, Chief Financial Officer; and John Sagartz, Chief Strategy Officer. Bob will begin with some opening remarks, after which Beth will present a summary of the company's financial results, and then we'll open the call for questions from our analysts. It is now my pleasure to turn the call over to Bob Leasure, President and CEO of Inotiv. Bob, please go ahead.
Bob Leasure: Thank you, Devin, and good afternoon, everyone. I appreciate you taking time to join us today. It wasn't that long ago that we got together to discuss our year-end financial results, but we will try to keep remarks today brief. Our results for the first quarter came in as forecasted in our Q4 conference call. Revenues increased 45.8% to $122.8 million from $84.2 million in last year's first quarter and revenues for DSA and RMS business segments increased from last year's first quarter, although results at the RMS business were impacted by our decision to temporarily pause shipping NHPs from Cambodia following the recent allegations against our NHP supplier employees and government officials in that country. Adjusted EBITDA for the quarter was a negative $5.5 million, as compared to an adjusted EBITDA of $10.1 million in Q1 of fiscal 2023, driven by the effects of the temporary halt of NHP sales, inflationary pressures on product expenses, energy and wages and professional fees, [Technical Difficulty] related to NHP issues during the quarter, which impacted audit, legal and third-party professional fees totaling approximately $1.3 million. The last two quarters have presented some challenges for Inotiv due to the pause of NHP imports and sales, closure of other facilities and cost increases, and I remain grateful for the talent and hard work of our team, the part of our shareholders and the commitment of our customers. Although headwinds persist in certain aspects of our business, we believe the foundation we've set and the decisions and investments we have made during the last two quarters will make a stronger and better company. We expect to see the benefits in our performance for the balance of this year and in future years. The business is positioned to achieve above-market revenue growth rates and expansion in margins through a combination of price increases, increased organic sales growth, synergies from our acquisitions and expansions over the last 14 months and the benefits from our ongoing site optimization initiatives. We continue to guide towards long-term revenue growth of high-single to low-double-digits and long-term EBITDA margins of 18% to 22%. Before I move on, I also want to say that we are very proud of the recent third-party acknowledgment by being recognized as one of the top -- recognized as one of the 2023 top USA workplaces. Eligibility for this award is assessed via third-party anonymous questionnaire sent to all of our employees. So we are particularly proud that they feel we are creating a workplace environment that attracts, develops, rewards and retains significant talent in our industry. Let's talk a bit about our DSA and RMS business segments, and then I will provide an update on how we are working to resolve and participate in advancing solutions to the NHP situation before turning things over to Beth. Our DSA business generated first quarter revenues of $41.1 million, up 25.3% from revenue of $32.8 million in last year's first quarter. This first fiscal quarter has typically been our weakest quarter due to low seasonal bookings and less hours worked during the holiday season in our DSA business and reduced research model demand in our RMS business. The increase in the DSA revenue was primarily driven by revenue generated from Integrated Laboratory Systems, LLC, which was acquired in January of 2022. The remaining increase was primarily driven by an increase in general toxicology services. In Q2, we expect to complete some of our previously announced expansion projects. As we complete fitting out laboratory space, validating the new equipment and establishing our processes, we will add to the overall depth and breadth of our services, services portfolio and expand our client service capabilities, which are designed to enhance both overall quality and margins by reducing our reliance on third-party outsourcing. These include our Boulder, Colorado expansion, which was completed in December ’22. The opening of our Kalamazoo pathology site in January ’23, the continued work in our Rockville, Maryland site, which is in process of becoming operational and expected to be completed by the end of Q2 fiscal 2023. We're also progressing with plans to expand our Fort Collins facility, which we anticipate should be operational towards the end of fiscal 2023. Once completed, these expansions in total are estimated to increase our DSA capacity by 30% and expand our annual DSA revenue capacity by $50 million. Book-to-bill was flat again in Q1 of 2023, and again, we experienced a high level of cancellations, a higher level of cancellations than in Q1 fiscal 2022 and in line with previous quarters cancellations. Our RMS business, we now have a full-year of RMS operations under our belts and remain very optimistic about the prospects for this business. Our RMS segment revenue rose 58.9% to $81.7 million from $51.4 million in last year's first quarter. As a reminder, last year, we closed the Envigo transaction on November 5, and therefore, do not recognize a full quarter of sales. And then as stated earlier, the decision to temporarily pause shipping and importing of NHPs from Cambodia in mid-November of 2022 impacted our Q1 fiscal year 2023 RMS revenue. Our site optimization plan for our RMS segment remains on track, and we made good progress during our first quarter of 2023 and continue to do so this quarter. During the first quarter of fiscal 2023, we completed the shutdown of the Dublin, Virginia facility and initiated a relocation of our operations in Haslett, Michigan and Boyertown, Pennsylvania to our newly refurbished facility in Denver, Pennsylvania. We expect the Haslett and Boyertown facility closures to be completed towards the end of fiscal Q2 2023. During the current Q2, we also initiated the relocation of two facilities in Indianapolis, which we hope to be completed during fiscal Q3. We have recently completed the previously announced consultation process -- France, and we'll be relocating this or to our recently updated Netherlands facility. This process will start immediately, and we look to be completed by the end of our fiscal Q3. We are still working through the consultation process as it relates to the potential site optimization plan in the U.K. to consolidate our operations at Blackthorn in U.K. to our other site in the U.K. We expect to complete the consultation process with our employees by the end of this month. We believe that the optimization of our production network footprint will allow us to drive operating leverage through that segment of our business and reduce future capital expenditures required to service a smaller number of more efficient facilities. In addition, as the production of these facilities are relocated, we are taking the opportunity to revise our product distribution plans, including our delivery routes and warehousing, and this review is currently in process. We believe this will allow us to further improve efficiency, elevate customer service and enhance margins. With respect to pricing, we did initiate price increases related to the RMS business. These new prices are going into effect during our fiscal Q2. These will help address the wage and operating expense increases we saw during 2022 and which impacted margins over the last two quarters. As for the NHP business update, as we outlined in our last call, we said we resumed shipping NHPs from Cambodia origins once we could reasonably confirm that they were purpose-bred. Subsequent to January 13, 2023, and after an internal analysis and review, the company has shipped a select number of its Cambodian NHP inventory. However, the company is not currently shipping Cambodia NHPs at the same volumes as it was prior to the events on November 16, 2022. In our call four weeks ago, we outlined the anticipated NHP pricing changes mainly related to NHPs in the U.S., and we do not believe that there are any substantial changes since that call. In addition, in our call a few weeks ago, I also indicated that we plan to conduct on-site audits in Cambodia during Q2. These audits are currently underway, and we are working to establish even more robust procedures for future imports. I appreciate the ability to have our employees on site in Cambodia. We will not make any further comments or set a time frame for any resolution until we can complete the audits and agree to these new procedures. At this time, we are also focused on working with our suppliers and developing a long-term solution to establish additional procedures, which we can be comfortable assuring ourselves and our customers, we only import to provide purpose-bred NHPs from Cambodia. We expect to establish new procedures before we will resume Cambodian NHP imports. We also expect that future imports of NHPs from Cambodia will be dependent on working with third parties to establish additional procedures. We expect these procedures to go the reliance [Indiscernible] documents, which has been relied upon in the past. We have scientists inside and outside of organization, working rapidly towards establishing new testing procedures for importing, purpose-bred Cambodian NHPs and meeting the needs of drug discovery and development in the U.S. In the meantime, we are still importing from other countries to satisfy demand of our DSA business segment to our RMS clients. I understand that there are questions to the details of the procedures we are implementing to ensure the origin of these NHPs. Although I will not be providing specifics, the testing we are developing aims at determining with a high degree of certainty that the animals, we supply for biomedical research, are purpose-bred and NHPs. As it relates to our outlook, we are reiterating our full-year fiscal 2023 guidance of at least $580 million in revenue and at least $75 million of adjusted EBITDA and with adjusted EBITDA margins of approximately 17% for fiscal 2023 nine-month period ending September 30, 2023. We continue to expect that capital expenditures will moderate from 2022 and will be no more than 5% of sales during fiscal 2023. As a reminder, this guidance includes the resumption of shipping some of our existing Cambodia NHP inventory beginning in Q2 of fiscal 2023. Although we've had some unexpected events and headwinds over the last 2 quarters, I remain pleased with our progress with our response to these events over the last 2 quarters and our progress over the last 5 years. We are becoming a much better company. We've made significant investments in our people, process and procedures. These investments are allowing us to integrate our acquisitions, streamline our operations, further improve our client service and mine material operating synergies. As we continue to improve, I want to again recognize the commitment and dedication of our Inotiv team by working together and trusting in one another. We continue to play a vital role in helping our clients discover and develop by changing therapies as we strive to be the best in the industry. With that, I'll turn it over to Beth, our Chief Financial Officer. Beth, please go ahead with the financial overview.
Beth Taylor: Thank you, Bob, and good afternoon, everyone. Total revenue for the 2023 first quarter rose to $122.8 million from $84.2 million in last year's first quarter, driven primarily by significant incremental revenue from our RMS segment and higher revenue in our DSA segment. DSA segment revenues grew 25.3% in the fiscal 2023 first quarter to $41.1 million up from $32.8 million in the fiscal 2022 first quarter, driven by an increase in the DSA revenue generated from ILS, which was acquired on January 10, 2022. The remaining increase was primarily driven by an increase in general toxicology services. Our RMS segment revenue in the fiscal 2023 first quarter was $81.7 million a 58.9% increase from $51.4 million in the same period last year. We closed the Envigo transaction on November 5, 2021, and therefore, the first quarter fiscal 2022 did not recognize a full quarter of revenue. The first quarter fiscal 2023 RMS segment revenue was lower than fiscal 2022 fourth quarter revenue due to shipping less units of Cambodian NHPs during the quarter. Our total gross profit was $21.7 million or 17.7% of revenue compared to total gross profit of $19.3 million or 22.9% of revenue in last year's first quarter. Gross profit for our DSA segment was $13.1 million or 31.9% of segment revenue compared to $12.2 million or 37.2% of segment revenue in last year's first quarter. The change was due primarily to laboratory capacity investments and costs associated with the successful recruitment of scientists to begin adding services and capacity which we expect to have available over the remaining period of fiscal 2023. RMS segment gross profit in the first quarter of fiscal 2023 was $8.6 million or 10.5% of RMS revenue compared to $7.1 million or 13.8% of RMS revenue in last year's first quarter. The decrease in RMS gross profit as a percent of RMS revenue was primarily due to the mix of products sold and inflationary pressure on product expenses, energy and wages, partially offset by favorable pricing for several different RMS product lines. Our operating loss for the first quarter was $90.6 million, reflecting an increase in operating expenses to $112.3 million, up from or $53.0 million in last year's quarter. As we note in our press release, higher operating expenses were driven primarily by a non-cash goodwill impairment charge of $66.4 million for our RMS segment as a result of the November 16, 2022 NHP event which led to our decision to refrain from selling or delivering any of our Cambodian NHPs held in the U.S., the uncertainty related to our ability to import NHPs from Cambodia and the decrease in our stock price, the carrying value of our goodwill as of December 31, 2022, was quantitatively assessed. As a result of our impairment assessment, the company then determined that the carrying amount of goodwill attributed to our RMS segment was in excess of its fair value. Last year's quarter included noncash operating expenses of $23 million of post combination stock compensation expense related to the adoption of the Envigo equity plan. The remaining $30 million increase in operating expenses reflected an increase in amortization expense of $5.4 million, increases in selling costs, primarily due to increased revenue and general and administrative expenses, or G&A, reflecting various acquisitions, including the addition of the RMS business, as well as strategic investments in unallocated corporate G&A expense to support additional future revenue growth, and this included additional headcount, higher compensation expense and higher legal expense. In addition, we did incur professional fee expenses related to the NHP situation during the quarter, which impacted audit, legal and third-party professional fees that totaled $1.3 million. Adjusted corporate unallocated G&A totaled $18.6 million or 15.2% of revenue in the first quarter of fiscal 2023, compared to $7 million or 8.3% of revenue in the first quarter of fiscal 2022. The variance as a percent of revenue was due to lower Cambodian NHP volumes sold in the first quarter of fiscal 2023, compared to volumes that were sold prior to the event on November 16, 2022 and due to the company's decision to pause shipping of the Cambodian NHPs. In connection with these events, the variance as a percent of revenue was also impacted by the $1.3 million in professional fees related to audit, legal and third-party costs associated with the NHP situation in Q1 fiscal 2023. Interest expense increased to $10.5 million up from $4.8 million in last year's first quarter, reflecting our higher debt balance for borrowings obtained for the acquisitions and an increase in interest rates. Consolidated net loss attributable to common shareholders in the first quarter of fiscal 2023 totaled $87.3 million or a negative $3.41 per share. This compared to consolidated net loss attributable to common shareholders of $83 million or $3.93 per diluted share in the first quarter of 2022. Adjusted EBITDA loss was $5.5 million as compared to adjusted EBITDA of $10.1 million or 12% of total revenue in last year's first quarter. As Bob mentioned, our book-to-bill ratio for our DSA segment in the first quarter was 1.02 times, which remained flat, compared to 1.03 times in the immediately preceding quarter of fiscal 2022. DSA backlog was $147.9 million at December 31, 2022, compared to $147.2 million at September 30, 2022 and $104.6 million at December 31, 2021. Net cash used in operations was $7.4 million, compared to cash used in operations of $1.1 million last year. The use of cash in operations during Q1 of fiscal 2023 is due to the impact of lower NHP revenue and related customer receipts, due to the temporary pause in shipping NHPs from Cambodia and higher professional fees incurred relating to this NHP situation. CapEx in the first quarter was $8.4 million or 6.8% of total revenue and reflected investments in facility improvements, site expansions, enhancements to laboratory technology and system enhancements to improve the client experience. As Bob noted, we expect our fiscal 2023 CapEx to be no more than 5% of projected revenue. The CapEx investments will focus on completions of DSA capacity expansions in Boulder and Rockville, completion of an expansion project in Fort Collins, completion of RMS deferred maintenance projects and continued animal welfare enhancement. Our balance sheet as of December 31, 2022, included $20.8 million in cash and cash equivalents and a 0 balance on a $15 million revolving credit facility. As previously announced in October, we drew down the entirety of the $35 million delayed draw term loan and a portion of the proceeds were used to repay the $15 million balance on the revolving credit facility and the remainder will be used to finance capital expenditures in 2023. Total debt, net of debt issuance costs as of the December 31, 2022 was $373.2 million. We were in compliance with our debt covenants as of December 31, 2022, and we currently have $15 million available on our revolving credit facility. And based on our financial guidance, we anticipate that we will be in compliance with our financial covenants for fiscal 2023. Challenges notwithstanding, we remain pleased with our financial performance and the foundation that we have built to continue to grow and capture a significant portion of the opportunities in our market. And with that financial overview, I'll turn the call back over to Bob.
Bob Leasure: Thank you, Beth. And with that, I think we'll open it for questions, please.
Operator: Certainly, we’ll now be conducting a question-and-answer session. [Operator Instructions] Our first question today is coming from Matt Hewitt from Craig-Hallum Capital Group. Your line is now live.
Matt Hewitt: Good afternoon. Thank you for providing the update. I've got a handful of questions. Maybe first up, what was the organic growth in the quarter? Do you have that handy by chance?
Bob Leasure: Beth, do you have that -- I'm sorry, I don't have.
Beth Taylor: Yes, the organic growth for our DSA segment was about 38%, approximately $9.5 million.
Matt Hewitt: Got it. Okay. That's helpful. And then as far as the cancellations are concerned, is that -- are those tied to the NHP situation? Or are there incremental cancellations that you're seeing going back to what your commentary last quarter where you had -- during the pandemic, you had customers coming in 12 months, 18 months ahead of anticipated services that were needed and hoping to have the molecule ready, but then you got to the go-live date and they weren't ready. Is that still the issue? Or are some of these cancellations tied to NHPs?
Bob Leasure: No, that is still the issue. The cancellations we saw in Q1 are in line with what we saw in Q3 and Q4 of fiscal ‘22, which before the NHP situation occurred.
Matt Hewitt: Okay. And how much longer do you think you're going to have to kind of weather those headwinds from the extended time lines that you had from contracting?
Bob Leasure: Good question, Matt. We're look at that weekly, monthly right now. This quarter looks like it's not quite at the pace it was in the prior quarter so far. So we'll wait and see how this quarter goes and see if we see any improvement.
Matt Hewitt: Got it. And then maybe a couple on the current NHP situation. Thank you for providing the update. It's good to hear that you're comfortable now at least shipping some of the existing inventory. Is there any way to quantify or give us a sense for how much inventory you have remaining from Cambodian and then as far as the testing process is concerned, maybe if you could provide us a little bit of color on that. Will the animals be tested when they leave Cambodia and again, once they reach the states here, what types of testing? Just any additional color there, I think, would be helpful. Thank you.
Bob Leasure: The first question, I think, we have never quantified how many NHPs we currently have in inventory. And we're not going to provide that information or how many available for shipping right now as we just have not provided that segment information. Second, as far as testing, we're looking into genetic and non-genetic approaches. And beyond that, we really don't care to comment. It will involve third parties and we're still working through those issues.
Matt Hewitt: Understood. Right, thank you.
Operator: Thank you. Next question today is coming from Frank Takkinen from Lake Street Capital Markets. Your line is now live.
Frank Takkinen: Hey, thanks for taking the questions. I wanted to start with one related to new bookings first. There was a sense last quarter that the cancellations were hitting the book-to-bill before some of the new bookings you were working on were crossing the goal line. Is that still the case? Are you still working on some larger new bookings? And do you expect that new bookings number to trend higher through the back half of the year, and we could start to see that book-to-bill tick back up as cancellations hopefully moderate.
Bob Leasure: Well, of course, that's what we hope to see. And so we'll continue to watch that closely. We hope to see the cancellations moderate and that is true. And we've made some changes. We've added some people to the marketing equation. We're adding some services. And so I think those will both enhance our ability to increase our sales and hopefully, our book-to-bill. So we'll see how those evolve over these next two or three months as these new services become available to us and as the changes in some of the additions, we've made take effect.
Frank Takkinen: Okay. That's helpful. And then one on the NHP dynamic a little bit more. In relation to the Cambodian NHPs in inventory, can you speak to the expected cadence of confirmation of whether those were purpose-bred or not for those NHPs in inventory and how we could see that play out in the model over the remaining three quarters of the year?
Bob Leasure: All right. Can you say it again, Frank, can you say the question again?
Frank Takkinen: Yes. Just trying to get a feel for when you expect to confirm whether or not the Cambodian NHPs in inventory are purpose-bred? Just trying to get a feel for the timing around that and when we could see some of those shift and hit the model?
Bob Leasure: As we are able to get comfortable ourselves, we are beginning to ship those, I think that's what we said. So we have begun to ship for those. So we are comfortable in shipping some of them. And we're also evaluating other processes and procedures before we ship on them. We're not aware of any wild costs that we are holding, but we're going to continue to do our due diligence and look for before we ship everything or anything and we get comfortable with each one. So it's just not a -- each one gets -- each one gets evaluated separately.
Frank Takkinen: Okay. That's helpful. And then maybe last one, just as it relates to guidance, in line with expectations on the adjusted EBITDA loss for the first quarter, do you expect to flip back to a positive adjusted EBITDA next quarter and then grow that sequentially through year-end to hit that 75 figure? Or how do we -- how should we think about that cadence of EBITDA sequentially throughout the year?
Bob Leasure: Yes, we would. I think we have to put back deposit this quarter to be able to hit that cadence of $75 million for the year. But if you remember, Frank, we made a lot of changes -- we talked about in the last call. We had a reduction in workforce or some because we said we're going to stop some of the M&A work, to some of the -- we said that we're going to hire a lot less people. So that created some changes to take some cost out. We are still looking -- we did have substantial pricing increases, specifically in NHP, but also in other parts of the RMS business. We also are -- as we go about closing eventually eight, nine facilities and then we -- each one of those facilities has a pretty significant fixed cost infrastructure that we'll take out. And then we are also -- with us that will allow us to revamp our transportation system. So there are some pretty significant moves that are taking place that will allow us to go from what last quarter was to this quarter.
Frank Takkinen: Okay, great. Thanks.
Operator: Thank you. Next question is coming from David Windley from Jefferies. Your line is now live.
David Windley: Hi, good afternoon. Thanks for taking my question. I want to start on your testing of NHPs, Bob. The -- could you distinguish for us the difference at this point between the ones you're comfortable shipping and the ones you're not, what are you able to do to get comfortable with that. I'm thinking about the discussion about developing tests that sounds forward-looking. And so I'm wondering what tests are already developed that allow you to make those determinations.
Bob Leasure: Well, remember two things. We have existing inventory and then we have what are we going to do before we import again. So -- and we have not commented on what specific testing we are doing or we've not even comment on what third parties we're working with and what new testing may become available. So I do -- I will say that I think it will involve third parties. And so that's currently the evaluation. But we're not -- we have not openly talked about the test that we are performing or that we will be performing.
David Windley: Okay. So your point about your first part in your answer, your current inventory -- am I interpreting that correctly that you believe -- I mean, you did say this before, I guess, that you don't believe you have any wild costs in your inventory. But I guess I'm assuming that you would need to confirm that in some way, am i interpreting that?
Bob Leasure: No, you are correct. Our intention is to continue to confirm that. So we're not taking anything for granted and regarding each and every one.
David Windley: Okay. Okay. The -- sticking within RMS, you talked on the last call, you just mentioned it, I think, to Frank's question, that you took price in NHP, but also in non-NHP. Can you comment how those prices in the small animal part of the RMS business are sticking? How are those being accepted?
Bob Leasure: We've not -- those have all been accepted so far, they seem to be doing fairly well actually. We -- I think most of the market understood some of the cost increases that were taking place. And so they have been accepted. And so we're starting to see the benefits of that now.
David Windley: Okay. Flipping over to DSA and the cancellations. I want to make sure I'm clear that when we talk about the clients that had booked well in advance, and then the test article is not ready, I'm interpreting in so much as those are culminating in a cancellation as opposed to a delay, I'm interpreting that to be either the client abandon that molecule or that family of molecules like they didn't work in the discovery or other activities leading up to the preclinical tests or they've decided to -- that there's enough time lag that they decided to cancel and maybe come back later. I guess what I'm interested in is do you believe these are delays where the business could come back to you at a later date? Or should we interpret those cancellations has gone?
Bob Leasure: Good question. We're interpreting something we are getting some that are delays and then they reschedule. But those do happen, and we do rescheduled. We don't call rescheduling a cancellation as the orders still exist. I do think that the market is being much more cautious in how they spend their money. And I think the cost of capital went up significantly and have people reevaluate how they want to go forward and what changes the market may make. I think we're seeing all the above. So -- but when we see a cancellation free cash flow, they choose to bring it back, then that's great, but we're not holding out an open spot or we're not leaving into the backlog and assuming it's going to come back. And so if we -- if they rebook a new study going forward, it would be a new order going forward. And the cancellation we're aware of it is a cancellation, and it's not -- it's taken out of the log.
David Windley: Got it. Okay. I appreciate that clarification. Last question for me is around the pricing on the DSA side. So from our previous conversations, I believe, and your answer is confirmed today that most of your activity in DSA is more small animal oriented or lab or related lab. I guess I'm wondering, in light of the book-to-bill the last couple of quarters, what are you seeing from a DSA pricing environment as clients are scrutinizing what they want to do more closely? And is that an area where you would say price is actually favorable versus a quarter or 2 ago? Or is that an area where in order to fill the backlog, you may need to consider a little bit of selective price-cutting to attract business.
Bob Leasure: I've not seen us discounting on our service business. And I think the challenges to the market is that with this supply and demand issue with the large animals, being [K9s] (ph), NHPs, there's really a shortage of both. And so I think as a result, the pricing has stayed fairly strong. I don't think we're in a position right now where the bottleneck is by various rooms or maybe people as it has been in the past, but it may be now access to the research models. And so I think that's where the pricing is probably stayed high. Again, we're fairly small compared to some of our competitors and how many rooms we have available. But we've stayed fairly busy, and I think we have seen our pricing stay fairly strong as a result of that. Because again, we're just a small piece of a very big market. And we do these. So that's probably helped us a little bit.
David Windley: Got it. Got it. Appreciate the answers. Thanks very much.
Bob Leasure: Thank you.
Operator: Thank you. Next question is coming from Tim Daley from Wells Fargo. Your line is now live.
Tim Daley: Great, thanks you for the question. So Bob, I appreciate the update on the various NHP pieces around the RMS growth this year. But just digging a bit more into one of Dave's questions, you did note that the price increases for non-NHPs have been accepted by the market, but I just wanted to confirm that the magnitude is consistent with what you're communicating on the last call. In January, I think you sized that around 5% to 25% for the year. Is that still the plan?
Bob Leasure: Depending on the research model, that was the range. So blended, it may only be a 7% to 10% range and a blended overall. But there are some 5’s and some as much as 25, yes.
Tim Daley: All right. Great. And then just a bit on the health of the broader customer base. So the cancellation demand positives that you all have been commenting on, is this dynamic still isolated to capital market-dependent biotechs? Or how have you seen it spread into other customer types?
Bob Leasure: Well, as you know, a lot of our -- in our DSA business, over 90% of our sales are biotech-related. So we mainly see it related to the biotech market.
Tim Daley: Alright, great. Thank you again for the time. Appreciate it.
Bob Leasure: Thank you.
Operator: We reached end of our question-and-answer session. I'd like to turn the floor back over to Bob for any further closing comments.
Bob Leasure: All right, thank you. It's been a challenging two quarters, but really, I think that we as an organization have come through this very well and made some very tough decisions and I think we're going to be a much, much better company for some of the tough decisions that we have made and continue to make. So again, thank you, everybody, for your time today. I look forward to our next quarterly call and hopefully in April. Thank you very much.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.